Operator: Welcome to the PodcastOne Third Quarter Fiscal 2025 Financial Results and Business Update Conference Call. I'd now like to turn the call over to Aaron Sullivan, Chief Financial Officer. You may begin.
Aaron Sullivan: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the PodcastOne fiscal third quarter 2025 business update and financial results conference call and webcast. During today's presentation all parties will be in listen-only mode. Following the presentation, the conference will be opened for questions. On our call today is Kit Gray, President and Founder of PodcastOne; and myself, Aaron Sullivan, Chief Financial Officer. I would like to remind you that some of the statements made on today's call are forward-looking and are based on current expectations, forecasts, and assumptions that involve various risks and uncertainties. These statements include, but are not limited to statements regarding the future performance of the company, including expected future financial results and expected future growth in the business. Actual results may differ materially from those discussed on this call for a variety of reasons. Please refer to PodcastOne's filings with the SEC for information about factors, which could cause the company's actual results to differ materially from these forward-looking statements, including those described in PodcastOne's Form 10-K for the year ended March 31, 2024, followed by the company with the SEC on July 1, 2024, and subsequent SEC filings made by the company. You will find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed today in the company's earnings release which is posted on its Investor Relations website. The company encourages you to periodically visit its Investor Relations website for important content. The following discussion, including responses to your questions, contains time sensitive information and reflects management's view as of the date of this call, February 12, 2025. And except as required by law, the company does not undertake any obligation to update or revise this information after the date of this call. I'd like to highlight to investors that this call is being recorded. PodcastOne is making it available to investors and the media via webcast, and a replay will be available on PodcastOne's IR website in the Events section shortly following the conclusion of the call. Additionally, it is the property of the company and any redistribution, retransmission or rebroadcast of the call or the webcast in any form without the company's express written consent is strictly prohibited. Now I would like to turn the call over to PodcastOne's President, Kit Gray.
Kit Gray: Thank you, and welcome to our fiscal third quarter 2025 earnings call. As a reminder, we are not on a calendar reporting year and our fiscal year 2025 ends on March 31. Today, we will provide a brief overview of PodcastOne and the continuously growing podcast market and highlight our most recent successes before passing on to Aaron for the financial results. After his comments, I will close with an update on our strategic initiatives, including our recent partnership with ART19, Amazon's podcast hosting service and what we are looking forward to in the quarter to come. Lastly, we will open it up for Q&A. PodcastOne is a premier podcasting network that has played a key role in the evolution of the podcast industry, since its founding in 2012. As the only pure-play publicly traded podcast company in the United States, PodcastOne provides a platform for top-tier content creators offering comprehensive support across production, marketing, sales and distribution. Podcasting has become one of the most trusted and engaging media formats with over 4 million podcasts registered worldwide as of 2025. The industry continues to grow with advertisers projected to invest over $2.4 billion in podcast advertising this year. PodcastOne is a sales network of over 500 of the largest advertisers to reach core demographics effectively and efficiently. PodcastOne and its 196 shows are positioned at the center of its growth, capitalizing on both the increasing audience demand and the effectiveness of podcast advertising as a high ROI media channel. PodcastOne has been ranked as a top 10 U.S. podcast publisher for the second consecutive month by Podtrac with monthly unique U.S. audiences of 5.2 million and 16.2 million U.S. downloads and streams. Podcasting continues to be a culturally relevant medium, shaping conversations around major events. Previously, we saw its impact during your selections and more recently, it played a role in covering the recent California wildfires. As an LA-based company, we witnessed the devastation firsthand. Members of our own teams saw their communities destroyed and lives upended in a matter of moments. While much of the country watch the tragedy unfold on television, others turned to podcasting for unfiltered perspective. PodcastOne host, Adam Carolla was among those directly impact. Displaced from his home, he turned to his podcast to share his experience in almost real time. Broadcasting from a hotel room, he recounted the timeline of events leading to his evacuation, the uncertainties surrounding the status of this condo and mixed reports he received. Despite the circumstances, Carolla used his platform to provide a raw and personal first-hand account of the disaster, while blending his sharp observational, and often sarcastic style of storytelling and social commentary into the situation. With millions of impressions, this moment reinforced podcasting's unique ability to inform, engage and mobilize audiences in real time, turning personal stories into powerful conversations that drive awareness, empathy, and action. With our industry-leading platform, we empower podcasters to reach their full potential by providing comprehensive world-class support. Our 360-degree marketing capabilities drive growth and exposure, enabling talent to focus on what they do best, creating great content. This support includes access to studio space, marketing, production, editing, distribution and public relations. Additionally, our experienced direct sales team leverages long-standing relationships with advertisers and brands seeking to connect with the highly engaged audience of podcast on our platform. As a result, during the quarter, we were thrilled to sign Stassi Schroeder to the PodcastOne platform in a multi-year seven figure deal. Along with being a New York Times best-selling author in reality television personality, Stassi has a captivated podcast audience for over nine years, consistently ranking among the highest rated podcasts across platforms. The acquisition reinforces PodcastOne's mission to champion female voices in the podcasting space. As part of this collaboration, Stassi will also be integrated into the PodcastOne's extensive promotional and marketing initiatives spanning multiple genres with plans to expand into live shows, merchandising and adaptations. The majority of our revenue continues to be generated via our direct sales team with advertisers, who want access to the unique audiences that we can reach on our platform. In addition to our direct sales team and programmatic ads, the strategic partnership with Amazon's ART19 announced in January, creates a third core revenue channel for the monetization of our library of shows. More on ART19 in a moment. To complement our core revenue channels, we also diversified our emerging revenue streams that provide additional avenues for high margin growth, while diversifying our revenue mix and service offering to the entire PodcastOne ecosystem. We officially launched PodcastOne Pro in conjunction with our new state-of-the-art podcast production studio in Beverly Hills. We have seen great success from major brands such as Boost Mobile and Microsoft, who want to harness the power of podcasting and rely on our technology and talent to make it happen. PodcastOne Pro offers customizable services with a la carte options to meet exact production needs or a full 360 solution. The new studio enables creators to seamlessly produce, record and broadcast their shows with unmatched clarity and precision. Another way PodcastOne and its talent generate additional revenue is through live shows. Stassi Schroeder was among the first to expand her podcast into a live event format in 2019, quickly selling out subsequent tours in 2020 and 2023. We look forward to supporting Stassi and our other hosts in exploring live show opportunities in 2025. Now before going further, I'd like to turn the call over to Aaron, our CFO, to walk through the financial results for the financial third quarter. Aaron?
Aaron Sullivan: Thank you, Kit. As Kit mentioned at the beginning of the call, I want to remind listeners that our fiscal year ends on March 31st. Revenue in the fiscal third quarter of 2025 increased 22% to $12.7 million compared to $10.4 million in the same year ago quarter. Operating loss in the fiscal third quarter of 2025 was $1.6 million compared to an operating loss of $2.6 million in the same year ago quarter. This was primarily driven by lower non-cash stock compensation expense. Net loss in the fiscal third quarter of 2025 was $1.6 million or $0.06 a share per basic and diluted share compared to a net loss of $2.6 million or $0.11 per basic and diluted share in the same year ago quarter. Adjusted EBITDA in the fiscal third quarter of 2025 was negative $0.7 million compared to adjusted EBITDA of negative $0.4 million in the same year ago quarter. The change in adjusted EBITDA was primarily due to timing of content acquisition costs. We ended the fiscal third quarter with no debt on our balance sheet, and $0.6 million of cash and cash equivalents as of December 31, 2024. As we look ahead, I'd like to also briefly touch on guidance. We are pleased with the progress this quarter and given the revenue generating deals that are currently in place for fiscal Q4, along with the equity-based revenue share deals with certain podcast talent also starting to be effective in fiscal Q4, we are comfortable reaffirming our fiscal 2025 guidance. We expect revenues for the full-year to be at least $51 million, representing an increase of at least 17% when compared to revenues of $43.3 million in fiscal 2024. Given the continued strong double-digit revenue growth, we also project positive adjusted EBITDA for the full-year of fiscal 2025. Now I'd like to turn the call back to Kit for some additional comments on the quarter before wrapping up with questions from the audience.
Kit Gray: Thanks, Aaron. As highlighted, the momentum we're building continues to drive meaningful financial results, which is a direct result of our extremely scalable platform and the execution by our team at PodcastOne. One of the biggest strategic and financial partnerships took place in January with the move of our library of shows to Amazon's Podcast Hosting Service, ART19. This move underscores our commitment to innovation and delivering exceptional value to our talent, advertisers, listeners and shareholders. By partnering with Amazon's ART19, we are not only future-proofing our hosting needs, but unlocking new growth opportunities by leveraging their cutting edge technology and advertising opportunities. For the listener, there will be no change. They will still be able to access PodcastOne's hit shows wherever they choose, including Spotify, Apple Podcast or YouTube. But for PodcastOne is a big change, and I would like to review some of the key benefits. As an overview, Amazon has already invested heavily in podcasting, acquiring both Wondery and ART19 in the last few years. While PodcastOne is now using ART19's hosting service, ART19 is paying us for access to our library of shows. Secondly, there are operational and technological advantages. ART19's advanced CMS content management system will improve efficiency, reducing the time and resources spent on back-end technology allowing us to sunset most of our technology used for hosting, leading to cost-effective savings and increased efficiency on our staff. ART19 can provide enhanced analytics including geo-targeting and audience insights and targeting. Amazon's ongoing investment and podcasting technology should bring future advancements to ART19's capabilities. On top of that, we will see revenue growth and stability. PodcastOne will receive a minimum guarantee revenue stream of $15 million over three years. And as PodcastOne scales its network and impressions, the minimum guarantee increases ensuring upside potential. This will allow us to better forecast the value of shares and improve cash flow predictability. ART19 acts as a complement to our current sales team and programmatic ad sales leading to an increase in revenue through ART19's integration with Amazon's advertising ecosystem. Amazon can package PodcastOne's inventory with their premium ad offerings across podcasts and Amazon Prime TV, creating additional revenue streams beyond our reach previously. We also have a competitive edge and M&A potential. The deal strengthens PodcastOne's position as a top 10 podcast network, aiding in talent acquisition by providing better monetization forecasting. It has the potential to open PodcastOne up for future partnerships with Amazon's ecosystem as podcast hosts has flock towards video and consumer preferences move towards watching their favorite hosts, not just listening. Overall, the partnership with Amazon's ART19 provides immediate financial security, multiple revenue growth opportunities, better technology and a stronger competitive position making it a significant milestone for PodcastOne, all while aligning with PodcastOne's long-term growth strategy and reinforcing our leadership role in the evolving podcasting industry. In closing, we delivered a strong fiscal third calendar fourth quarter, achieving double-digit revenue growth once again. In fact, this was PodcastOne's largest revenue results for the period. The momentum continued into the start of calendar 2025, marked by major accomplishments, including the collaboration with Amazon, the retention and extension of flagship podcasts from Adam Carolla, Brendan Schaub, and Kaitlyn Bristowe. PodcastOne now hosts 196 shows, having added 64 new programs in 2024 and 10 exciting new shows in last quarter alone. PodcastOne's talent roster continues to expand supported by a debt-free balance sheet and a multiple accretive growth opportunities. We are actively evaluating M&A prospects, not only to acquire top content networks, but also to enhance our platform with production, sales and technology acquisitions that strengthen our offerings for hosts and advertisers. PodcastOne remains the only pure play publicly traded podcast company in the U.S., our expanding content portfolio, strategic partnerships, and revenue diversification efforts continue to create long-term shareholder value. Thank you for joining us. And at this time, I'd like to turn the call over to the operator for Q&A. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]. Your first question comes from the line of Sean McGowan from ROTH Capital Partners. Your line is open.
Sean McGowan: Good morning guys. Can you hear me okay?
Aaron Sullivan: Yes. Hey, Sean. Good morning.
Sean McGowan: Hi, Aaron. Yes, a couple of questions. So you've talked in the past about cost of sales reflecting content acquisition costs. So you're -- I gather from your reaffirming the guidance that you're comfortable that that's going to go down a lot in the fourth quarter. So what drives that? Is it just -- is it simply the timing? Or is there something else behind that?
Aaron Sullivan: Hey, Sean, Aaron, I'll take this one, Kit. Yes. Correct, Sean, it's timing. We had a few revenue deals we were expecting in Q3 that kind of moved into Q4. We had the kind of the content cost or the minimum guarantee in Q3 that we had to expense and pay to our talent without that revenue coming in the same quarter. So it's really a timing thing.
Sean McGowan: Okay. And then the -- in G&A, the level of G&A spending seen in the third quarter, is that what we should expect around that level to continue? Or was there unusual positives or negatives in the quarter there? We came in a little lower than we thought.
Aaron Sullivan: It should be pretty consistent with us, Sean. Yes.
Sean McGowan: Okay. And maybe a couple of questions for Kit. So where -- and maybe you too, Aaron, so where in the P&L would we see the financial benefits of working with ART19 team? Is it multiple places or is it primarily in the kind of cost side? Or where do you see that?
Aaron Sullivan: I can take this and you can -- okay. You go ahead.
Kit Gray: Yes, go ahead. Okay. Sorry. Yes, you're going to see it with some cost efficiencies on our operational side of things, right? So there'll be less cost for our team to run tech and do some stuff there. So there's a lot of efficiencies there, and I'll have our team will be working on some other projects, not as much on that, which would be great. And then you'll see -- like I mentioned in the call, revenue growth on a consistent basis, we'll have payments coming in from ART19 based on that minimum guarantee audience threshold that we'll have and then as we scale up, there'll be more revenues on that. So those are the -- I think you'll see that ancillary, which won't be as clear. I believe you'll see pressure on our CPMs for more demand, right? If we have effectively three units, our direct sales team, the ART19's Amazon team and the programmatic channels, monetizing our impressions it all should work, where all rise, right? So we'll see, hopefully, higher CPMs as we continue working with them. Aaron, I don't know, if you want to add anything to that?
Aaron Sullivan: No, I think you covered it. Just maybe to clarify a little bit for you, Sean. There will be a small impact in sales and marketing, right, because that's where some of the commission is. So, yes, obviously, that's a variable expense, if we've got more revenue flowing through there, you'll see a little bit more expense there. But on the G&A side where we kind of the hosing an operational costs are, you see a drop in that particular line, but exactly what Kit said.
Sean McGowan: Okay. Thanks. And last question for you, Kit. So I think everybody is looking into this podcast where we got a kind of an eyebrow raising positive surprise on the impact that podcasting seems to have had in these various events that you cited the election, the fires. How has that changed the competitive landscape? Are you seeing -- it seems like this time last year, it was maybe a retreat by some of the major players, diminishing their commitment or not renewing at the same levels, some of their content. Has that shifted now? And are you seeing competition kind of increase or get more aggressive?
Kit Gray: No. I mean there are some activities out there, right? Like I think if you read the news, the Red Seat Ventures did a deal with Fox over the last couple of days. So there's certainly still activity in the M&A space and we'll be a player in those type of deals as well moving forward. So you're not really seeing that. What you're seeing is just more people listening and the medium strengthening and more dollars being spent into it, more attention by advertisers, more attention to good brands obviously, Amazon, no one bigger than them and investing in relationship with us and continuing their commitment to podcasting, I think is huge. So I only think it's really helping everybody, just keeping the medium excited, keeping advertisers in there and just getting better based on using technology and working with great talent to not only do audio, like we have for years, but the video aspect of things and social media events and things like that as well.
Sean McGowan: Thank you very much. Appreciate that.
Kit Gray: Good to hear from you, Sean. Talk to you later.
Operator: Your next question comes from the line of Leo Carpio from Joseph Gunnar. Your line is open.
Leo Carpio: Good morning gentlemen. A couple of questions regarding the quarter. Can you tell us about sort of the quarter's revenues? Was it ad activity driven? Was there some sort of seasonality? I mean, thinking of the third quarter, people are going to be back from the beach, there's new content being placed on the platform. And then how does that drive and think about for the fourth quarter in terms of the Art, that you're projecting to hit your guidance?
Kit Gray: I can tell you this, you always are going to see seasonality in terms of consumption, production and really the ad spend they're all a little different. And November and December, where people are taking some time off to be with their families. Maybe they're not as producing much content, but we can -- we've got an advantage because we can bank content in advance. But as far as advertisers, they go heavy because that's when people are spending money. So we had some good pickup in sales and some of our new shows like Stassi, as we mentioned did really well. I'm looking at January and things are looking pretty good. We're fighting through -- January is always a little slow based on people slowing down spends, but we've seen some nice numbers and nice direct sales on that front. The transition to ART19 -- Amazon's ART19 is taking place right now. So we're in that phase, and we'll see how that starts to roll out in this quarter. But like we mentioned, we should be -- we're pretty comfortable hitting those numbers that we quoted for the quarter/year.
Leo Carpio: Okay. And speaking of ART19, when are we going to see the real financial impact of the transition? Will it be like the next -- I mean two quarters from now or the beginning of 2026 or more of a summer 2025 calendar effect?
Kit Gray: No, you'll see it start to take place in the quarter that we're currently in. So we're transitioning all our shows right now over to there, that there's some -- and guarantees to start up and they're pushing hard to already get that inventory out to their sales team and in their system as well. We talked to them almost on a daily basis, so that's ramping up nicely. Our connects with the programmatic channels are staying in put to so that should help. And as always, our direct sales team is doing their job, too.
Leo Carpio: Okay. And then sticking to the -- in terms of the prior question, regarding competitive environment for talent, how does ART19 enhance your position versus say, Spotify, Apple? Does having Amazon, who win ART19 behind you helpful in negotiations going forward and if so, how?
Kit Gray: Yes. Good question. It does help us because we're able to kind of forecast, like I mentioned, like three revenue-generating channels earlier rather than two. And we'll really have more of a science on understanding the value of shows just based on pure numbers, right? How many downloads you have a month. We'll be able to kind of look at how that's valued from those three channels, right, not just two, which should help us calculate that. It should effectively make shows as more valuable to us. So in turn, that will help us hopefully get some more shows with better deals based on the ability to know we have cash coming in every month. We know the value better than we had before on what these shows could bring in. So that will really help us on that front. As far as the technology and with the use of their ad serving technology. It's great. I mean the system that we were on currently was good too. This is comparable, if not better, but that's where you'll start to see some advancements with Amazon over the next couple of years on there, CMS and ad serving capabilities. There are cool things that they can do, again in here like you can cap commercial lows to end users, you can switch out copies, so if they've heard it once then -- things like that, that we can offer advertisers. So that will take place over the next couple of months. But yes, we're excited about that. I mean -- it's always easier to saying, when you're hosted by a company like Amazon rather than your own thing. So that also will help. But yes, we're excited about it. It's a huge deal -- we, as a company spent the better part of all last year analyzing all the major platforms and potential revenue-generating cost-saving aspects of the deal and we really felt comfortable with ART19 -- Amazon's ART19 and how they're structure of their team, their services, their -- and how they're working with us. So a guy I did a deal with, Andy Slater who's been a good friend of mine for 25 years in the radio business. So he's great and his team is great, and we're really excited about the deal.
Leo Carpio: Okay. And then last question, I don't know, if you saw this on Netflix is -- the news is Netflix is exploring adding video podcast to their platform. Any sense in terms of how you might respond or too early to tell?
Kit Gray: Well, they should have gotten into this a lot longer -- a while ago. If you look at all the video companies out there, YouTube is now the #1 platform for consumption of podcasts listening, right? So Spotify is investing heavily in the video aspect as well. There are some issues with that, it's good and bad. Discovery is great, some of the ad dynamics are tough, that's hard to control. But Netflix absolutely should be involved in this too. The fact that they haven't gotten more into some of their shows having recap shows. And if you look at some of the great podcasts out there, whether it's severance on Apple, I mean, these are big podcasts now that people watch the TV show and then want to get involved in the communities. So Amazon should be involved in that. They also should be involved in the IP side of things, right? It's a very effective way to prove concept on a potential movie or a television show. And so they should definitely be involved in the podcasting space. So I'm excited to see that they're in there. And hopefully, we have some good talks with them moving forward. But I did -- yes, I saw that note, just a day or two ago, so that's exciting.
Leo Carpio: Thank you. I will go back into queue.
Kit Gray: Thanks, Leo.
Operator: Your next question comes from the line of Tom White from D.A. Davidson. Your line is open.
Wyatt Swanson: This is Wyatt Swanson, on for Tom. Thanks for taking our questions. Could you talk a little bit about how ART19 helps to drive your programmatic advertising and maybe your expectations of how that ramps up over the next 12 to 18 months? Do you kind of expect programmatic ads to outpace direct sales? Or how should we think about that?
Kit Gray: Good question. Thanks for jumping on. I appreciate the time. No. Amazon really doesn't have anything to do with the programmatic side of things. And it basically goes like this. So if you have three channels, right, how I mentioned our direct sales team, you've got Amazon's deal -- their sales team basically and then you have the programmatic desk, it's kind of a waterfall, right? So we have access to our inventory like no one else does. We have that first. And typically, that's because we know our CPMs on direct sales deals would be higher, we're able to use the talent to voice ads, choose particular shows, particular programs, use the technology to get higher CPMs in terms of behavioral targeting or geo-targeting or vendor targeting, whatever that might be, that's our primary area, where we'll make most of our revenue. I still think that's where it's going to be. That's where -- for at least the next 18 months, for sure, that will still lead the way. And I believe that will still lead the way no matter what. But Amazon then will be the second funnel in terms of impressions they get to access. And then after that, it will be the programmatic side of things. And Amazon will be hopefully selling higher CPMs than programmatic revenues are -- CPMs are typically in that $8 to $12 range, Amazon's hopefully will be higher than that. Why it will increase to your question, both on the Amazon side of things and programmatic and even the digital side of our sales team, revenue channel is because every episode that goes out, it stays and lives forever, right? So you can -- we're now monetizing another year of Adam Carolla's show and Annie's cold case files and Keltie and the LADYGANG are having another year. So we keep building our library and more and more people are finding out how great podcasting is and they're going back and consuming all these shows. So where we'll have an advantage as our library and impressions grow, we'll be able to have those three channels and they're funneling in as much money as possible. I hope that gave you kind of an answer on your question or helped you out.
Wyatt Swanson: Got it. Yes, that's very helpful. I appreciate it. And then I just had one follow-up.
Aaron Sullivan: Yes. Sorry, programmatically, you're still going to see big money -- I'm sorry, just to add to it, like you're still going to see more money going in that space. Again, the brands are really excited about the podcasts end users, right? And I believe with the political change in our country, there's not going to be as much restrictions on who is saying what, where for these brands, if they want to reach people. So I think that will help. I also think you're going to just see more and more in the audio space as audio catches up with video banner network programmatic capabilities. And that's what we're seeing. So I still think you'll see some great revenue growth on the programmatic channel as well.
Wyatt Swanson: Got it. That's super helpful. Appreciate it. And then I just had one follow-up. I was reading about LaunchpadOne. It seems like a really interesting way to discover new talent. As it relates to ART19 given that you're like sunsetting most tech used for hosting, would you maybe expect an uplift in users joining Launchpad to host their podcast? Or do they host through ART19 now? Or just how should I think about that?
Kit Gray: Yes. We're still going to be working with our old company to still run Launchpad and grow Launchpad. And I agree with you, it's still a very exciting free ability to host podcasts -- and we'll be doing some things this year. A couple of years ago, we did kind of find the next great podcast show, where some of our great podcasters were great from some of the shows and so forth. So we'll be doing some things like that to grow that and expand on the tech there, too, right? So now that we don't have to spend as much time on all the other stuff that we're doing because ART19 is taking over some of it, we'll be able to still do those things. So yes, Launchpad is definitely on our radar to focus more of our time and efforts in moving forward.
Wyatt Swanson: Great, thank you very much.
Kit Gray: Thank you.
Operator: And your final question today comes from the line of Barry Sine from Litchfield. Your line is open.
Barry Sine: Hey, good morning gentlemen. Actually, good afternoon I guess now. I want to talk about the content. Kit, maybe you can talk about what podcasts are really hot right now? What's up and coming, what new podcasts have you added that you're really excited about? And what's on the runway for -- potentially give us a sneak preview of what you might be adding over the next month or two?
Kit Gray: Yes, sure. I highlighted Stassi and Vanderpump actually starts up again shortly. Vanderpump is like a phenomenon. And we've got two shows that are focused on that soon to be three based on our partnership ending and doing their own shows with Jax and Britney. But so that's really killing it. And Kail Lowry, who does the killer network and new side of PodcastOne with pure network of shows, they're also launching another show associated with that as well. So those are -- that's our wheelhouse. When we look at female programming, moms, that's still what people are always asking for in terms of advertising and the audience is really expanding there. So we will continue to focus our efforts on shows like that. We have over 100 shows that we're talking to you right now. Many of them fit in the world as well as true crime. A ton of true crime shows out there that are really exciting and fun. And we've got a great true crime network that a lot of them will fit into. We just launched this past week, A&E's Ancient Aliens. It's actually the History channel, which is under the A&E umbrella. So we're part of that family now. We've worked with A&E for almost eight years with Cold Case Files, I survived and a couple of others. But I'm really high on this show. I think that the Alien phenomenon is tremendous. There's some great stories and everybody has an opinion on these things. And recently, there's still been some alien stuff coming up on the news. So I think that's a really good one. We've got the power of A&E and their TV and social media behind that as well. Those are some of the ones we're really excited about. We're going to be continuing the path of the Fordham towns of the world and owning IP and continuing to grow that library and reaching out and trying to sell more of those shows to networks to -- for second window type opportunities. There's great focus on our company on that as well. So those are a couple of them. But we're really excited about the network and the opportunities coming forward, and I think we're positioned really well.
Barry Sine: Okay. And just elaborating on some of the things you said in terms of some of the female programming. I know, for example, LADYGANG has a three-day weekend event coming up in September. I don't think you guys are actually running that, but presumably, that has spillover effects in terms of popularity and advertising. Anything on that and any other special events in addition to just podcast you may have in the works?
Kit Gray: Yes, we're going to be involved in that. That's actually -- if you guys know, where I live in Florida, it's maybe 10 minutes from where I live here in [indiscernible] Florida. And yes, so we're going to be involved in that. I'm actually meeting with the Keltie Knight, LADYGANG next week about finalizing some deals and some ideas down here. That's a cool event. And we'll be doing more of those types of things with our talent. If you notice on the roster, you'll see Kaitlyn Bristowe, LADYGANG and Stassi, right? So there's other great podcasts that are PodcastOne, The Office Ladies and a couple of others. But those are three of our biggest, most powerful shows all here. So we're going to do some fun things and would be involved in that. It's cool. I mean that's what you can do. When you have podcast community or you have a social media community, you can drive things like that where there's going to be a weekend of content, music, or as the graph is coming down, there's going to be either eating and yoga and paddle boarding and really just kind of a fun effect. So PodcastOne will be involved in that as well.
Barry Sine: And turning to emerging monetization things like movies and so on. Where are we in terms of composition of revenue? I assume that 95% or more of revenue is still traditional advertising sales and that the emerging streams are not that significant. And then on a forward-looking basis, are there any negotiations in process. I'm not asking specific which specifically, but what's the forward-looking view on emerging monetization?
Kit Gray: Yes. So I think when you look at advertising, it's still going to be a big, big part of what we do. It's in that 90%, 92% zone. It's more diversified now having ART19, Amazon involved in that with some -- you're hedging your bets a little bit if you look at that on the financial side of things. So that for Texas a little bit. PodcastOne Pro is ramping up I mentioned Boost and Microsoft, but love that, which is I think, I believe I saw they had a TV commercial around the Super Bowl is a growing brand. We've got a great show with them. Motor trend continues. They're now going to be in their fourth season with us. That's a really nice business. So we're focusing on that. And that will help us with our margins quite a bit because we have the talent booking and the infrastructure in terms of producers, video, audio. So when we charge people for that, it's -- our margins would be really nice. So that will be something else that will continue in. Merch shows owning our parent company, LiveOne is doing stuff with a liquor brand and a coffee now. So we're going to be doing more of that for some of our partnerships in the talent space. So over the next year, 1.5 years, you'll start to see that change a little bit. But again, the advertising is really our core business.
Barry Sine: Okay, great. Thank you.
Kit Gray: Sure, thank you, Barry.
Operator: And that concludes our question-and-answer session. I will now turn the call back over to management for closing remarks.
Kit Gray: Hey guys, thank you so much. I really appreciate your time and interest in PodcastOne. We'll be at the ROTH event in March, and we'll be constantly updating everybody on things as they happen within the quarter. Again, we appreciate your time and look forward to hearing you guys soon. Take care. Bye.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.